Operator: Good morning, ladies and gentlemen, and welcome to Petrobras’ Third Quarter of 2012 Earnings Conference Call for Analysts and Investors. We would like to inform you that this call is being recorded and all participants will be in listen-only mode during the Company's conference call. And it is being broadcasted with simultaneous interpretation into English. Afterwards, we will start the question-and-answer period, both in Portuguese and in English, when further instructions will be given. (Operator Instructions) Today with us we have Mr. Almir Guilherme Barbassa, CFO and IRO; Mr. José Miranda Formigli, Exploration and Production Officer; Mr. Jose Carlos Cosenza, Downstream Officer; Mr. Jose Alcides Santoro, Gas and Energy Officer of Petrobras; and other Executives of the Company. Before we start, Mr. Theodore Helms, Executive Manager for Investor Relations, has some remarks to impart. Mr. Helms, you may proceed.
Theodore M. Helms: Good morning and we are going to start another call of Petrobras with investors and analysts to discuss the third quarter of 2012 results. Today’s conference call is being broadcast live over the Internet at our website www.petrobras.com.br/ir and can also be followed if you dial the numbers 5511-3127-4971 and the password is petrobras. If you wish to follow this webcast in English we will be having simultaneous translation on the Internet and this can be accessed at www.petrobras.com.br/ri/en or through 1-516-300-1066. Before proceeding, I would like to inform that this call is being recorded and I would like to draw your special attention to slide number two with our disclaimer to shareholders and investors. Words such as believe, expect and other similar words related to forecast and targets are based on the beliefs and assumptions of Petrobras management regarding the future of Petrobras. And finally, I would like to mention that we have already released the third quarter results both in reals and in dollars, both in accordance with the International Financial Reporting Standards, IFRS. Nevertheless today’s conference call will be discussing Petrobras results in reals only. Now I would like to give the floor to Mr. Almir Barbassa, our officer, and he will be talking about the operating and financial highlights of Petrobras during the quarters. And afterwards we will be answering questions that you might have. Almir, you have the floor.
Almir Guilherme Barbassa: Good morning everyone and thank you for joining us in this conference call related to the third quarter of 2012 of Petrobras. During the period, we delivered the net income of R$5,567 million and the EBITDA was R$14,375 million, both substantially higher than that delivered in the second quarter of this year. Oil production in Brazil was 1.904 million barrels per day, 3% lower than our production in Q2 2012. Now, we will be talking about the reasons for this decline. Nevertheless, the production of natural gas grew by 4%. Also during this period, we installed a new platform, FPSO Cidade de Anchieta with a production capacity of 100,000 barrels per day and full production should be achieved in March 2013, around six months after the production startup. And today we already are producing 43,000 barrels a day from three wells. In this period, we also made important discoveries in the post-salt, particularly in the Northeast of Brazil in the Sergipe-Alagoas and Ceara Basin. In refining, we broke a record in the output of oil products, 2,026,000 barrels in the quarter vis-à-vis 1,866 million one year ago. This was partially driven by the startup of the recently installed units, the REPAR coking unit, for instance, started operating in this period. And Petrobras also maintained its participation in the Dow Jones Sustainability Index for the seventh consecutive year. Now, let's talk about our oil and NGL production in Brazil. As I mentioned before, in this quarters we saw a drop in production of 66,000 barrels per day corresponding to 3% of reduction, and the main drivers were the scheduled maintenance stoppages, that lasted longer than expected and it was the case in the P-52 and P-19 platforms. And a major part of this downtime happened particularly in September. The total impact of maintenance stoppages in the quarter was up 77,000 barrels per day. And when compared to the second quarter which was 52,000, we see the growing effect of scheduled stoppages on production and that results a lower efficiency in this period, with stoppages and major workovers of which reduced production by 35,000 barrels due to inefficiency when compared to previous quarters. This natural production declines also accounted for minus 57,000 barrels. But now, if we look at September, we have a production estimate which is 1.941 million barrels, and as we’re getting close to the end of October, we expect this forecast to materialize. And it tends to on an upward curve until the end of the year, which leads us to believe that we will be achieving our production target which is 2.022 million barrels or more or less 2%. On the next slide, we analyze domestic prices vis-à-vis international prices. Domestic prices went up at the end of June and beginning of July, we saw price increases both for diesel and gasoline. However, as we can see on this chart the curve that shows international prices that is to say the blue line at the top shows the marked increase at the beginning of the quarter expanding this price gap by the end of the quarter. Also in this period, we saw an increase in gasoline importations due to the high demand from the domestic market, which led us to supply the market by means of import. Diesel on the other hand had a somewhat lower average than the last quarter on account of new equipment that we now have in our refineries. Now looking at the lifting cost on the next slide, we’ll see that lifting cost, net of the government take vis-à-vis the previous period or quarter-on-quarter, we can see that there was a growth of 17%, and those were primarily due to personnel expenses coming from the collective bargaining agreement that were signed in September. And we took this as a single payment event resulting from 8, to make this quarter only.
 : Domestic output of oil products went up as I have already mentioned, hitting a record mark in the period, and by upgrading our refining cost and the better performance and efficiency. We have been able to increase new productions, which is one of the oil products that have an increasing demand, particularly in this quarter, in the third quarter as we will see in a moment. And with this efficiency, we were able to reach a utilization factor of 98% of our refining capacity. However, our refining cost went up, and this was driven from payroll expenses as I have already mentioned, the collective bargaining agreement, and which is also a partial impact on refining and also scheduled maintenance stoppages, which occurred more often in the third quarter than in the previous quarter. Now let’s see the oil products sales in Brazil. Our domestic market continues to grow and in the last twelve months, we grew by 6.4%. And this growth was achieved mainly due to the increase in the demand for gasoline. And several factors came into place, such as fleet increases and also competition with ethanol because gasoline partially replaces alcohol and the demand for diesel also grew by 4%. But on a quarter-on-quarter comparison, we had a 5% increase and there we have seasonality and the effect of the strength of the economy overall. And quarter-over-quarter, the demand for diesel grew by 8%, and gasoline 2%. And our trade balance ended up with a deficit, and the deficit was even greater than the second quarter and the gas of imports minus exports amounted to 271,000 barrels per day, and this was driven by a reduction in exports of oil let us say more imports of oil to supply the domestic market. Now that our refineries are equipped to better refine the product for which there is a domestic demand a part of that is supplied by our imports and also gasoline, which is imported directly to supply to keep up to this demand.
 : While looking at our net income, we see the effect of the operating income R$3.318 billion and its financial results which was the main factor coming into play and the currency stability, there with the greater stability as well in the quarter. And therefore, we didn’t have a change in the currency and the exchange variation or cost impacting our debt and with all that, we delivered a net income of R$5.567 billion. Now talking about E&P, our operating income also had a slight increase and the price was favorable to us, and the difference between Brent and heavy oil that we produced or that gap was reduced in this period. And we had a lower production, we have lower revenues, and with a higher production cost, this brought about an increase in the cost of goods sold. With that and with a smaller number of dry holes written-off in the period, all that took the operating income for the segment to R$16.380 billion and that for downstream, we saw price increase. The price increase was the main reason that led to a reduction in losses, which dropped to R$8.600 billion. We sold more but the higher sales were partially offsets by the cost increase of imported goods. And we also had a higher depreciation, because of the new equipment such as AZT and the REPAR coking unit that started operating recently. And finally, on this slide we see the company’s debt. Overall, it went up from R$179 billion to R$186 billion quarter-over-quarter, but the debt increase was practically all to our cash and cash equivalents, since our net debt remained stable. And this was possible because we negotiated with our pension fund, with which we had R$5.800 billion worth of federal government bonds and that guaranteed (inaudible) actuarial debt of the Company, and it was replaced by an another debt. We were therefore able to increase our cash equivalents without incurring more debt. In this period, we also made EUR2 billion and GBP450 million, which are not included in our cash equivalents because they only came in the month of October when we completed our funding process. But this shows quite that we have a great appetite from investors for Petrobras. And finally, here we show our investments. The investment that you see on the slide lead us to conclude that by September they seem to confirm the priority identified by our business plan on 2012 to 2016 business and management plan to focus on identity production. As you can see year-on-year, we saw an increase from 48% to 52% in investments made in this segment. And with that, we would like to close the remarks and in case you have questions, we will be available to answer them. Thank you, very much.
Operator: Now we will start our Q&A session starting with the questions in Portuguese and afterwards questions in English. This presentation is being webcast with a simultaneous interpretation into English, so we ask participants when asking their questions, could you please speak clearly and slowly? Please only two questions per participant, and all questions must be asked so that the officers may answer them. (Operator Instructions). Our first question comes from Bruno Montanari, Morgan Stanley. Please sir.
Bruno Montanari – Morgan Stanley: Good morning to all, thank you for this conference call. I have some questions about production. In the Roncador, we had a nice reduction in production. Will you add to longer stoppages? Was it a problem in P-52 and the numbers for October, is that considered a completely normalized production in the field of Roncador. My second question is about the S-curve presented in the business and management plan. I would like to understand that the oil projects for 2013, that they have the same timeline. Particularly are you stepping and one in the Northeast, one that will have an operational spread out in the beginning of the year? Thank you.
Unidentified Company Representative: Formigli will answer the two questions about E&P. Officer Formigli, please?
José Miranda Formigli: Good morning, Bruno. As for P-52, we completed the scheduled maintenance stoppage in September. In the beginning of October, we will no longer suffer any effects on this production. What happened there? Those in P-52 and P-19 were longer stoppages, were linked to weather conditions. We had workover in the two units. For these workovers, we required a maximum wind and wave conditions, and those conditions were not there in September and that is why we had for the longer stoppages in these two units a few days longer than we had initially forecast. That led to an additional impact is coming from scheduled maintenance stoppages. And this is why the September production contributed more, because of the stoppages of these two units Brazil’s productions have been reduced, there are no problem in the platform or in the well. Moving on to your second question, CapEx (inaudible). We see projects continue 100% on target. We expect good performance in the shipyards, as they will be doing the integration in ESPN. There is no indication of delays in the units in the subsea unit in terms of the wells with interconnect focus to oil. Everything is under control. Well, the target for oil production in 2013 are fully on target. 
Bruno Montanari – Morgan Stanley: Thank you very much.
Operator: 
 :
Marcus Sequeira – Deutsche Bank: Good morning to all. Thank you for the call. My two questions are; you mentioned that there was an increase of other operating expenses in the quarter; a strong increase compared to the same quarter of last year and quarter-on-quarter. In case coming, and if not, could you perhaps identify the main factors that contributed to this increase? My second question has to do with refining. With all the interest of the company to increase output, attributed to refineries, are getting to almost 100% of their capacity. My question has to do with downstream and logistics for distribution, transportation and storage. With an increased demand, if the demand continues to grow, is there any bottleneck that we should expect for the distribution and transportation of fuel in the country? Thank you.
Unidentified Company Representative: Marcus, thank you for the question. We will have one of our officers answering the first question and then we will probably take your second question. 
José Miranda Formigli: Indeed, we are increasing the output of our refineries. We are reaching a very high level of production. In case of the downstream, refineries in imported goods are getting through the distribution points. In other words related to the market and distribution components both in volume and the quality everything is perfectly satisfied. We might have some difficulties looking forward within just inventory, future inventories outside the refineries. So why we think which is good as well as the formal product and production is compatible with market demand and we’re perfectly supplying market demand. Even at this moment, and the weaker demand should continue in the last quarter of the year. Marcus, this is not up again. As for your second question, regarding other operating expenses, these are non-recurring items. At least the main factors are recurring, which means the payment resulting from the collective bargaining agreement with our workers, which was signed in the third quarter of 2012 and which was also paid in the third quarter. This is a non-recurring item and this is the main factor to be highlighted accounting for this marked increase in operating expenses.
Operator: Thank you. Our next question comes from Paula Kovarsky from Itau BBA. Please go ahead. Ms. Kovarsky, please.
Paula Kovarsky – Itau BBA: Good morning to all. I have two questions, thanks. First, going back to your discussion related to production, literally I continue finding it very difficult to understand the increase of workovers in the wells and the increases in maintenance stoppages versus the depletion levels that we see in production. I would like to better understand how much of that increase in workovers costs is normal, if you’re just perhaps catching up with a period of where there was a lower focus on increasing production in Campos? Half of these workovers are laid, perhaps that’s why we see a more aggressive depletion now. How much of that can be still catch up, what would be the additional cost for you to effectively recover this production decline in Campos? We are trying to understand for how long this investment will have to continue so high and when we should see some effective improvement in the Campos production? And to be very specific in terms of depletion because I understand because that maintenance is so good but in terms of depletion also the cost increase, what is your expectation perhaps last year? And when can we see effectively an improvement in Africa? That is my first question. My second question has to do with the collective bargaining agreement. We talked about expenses actually recurring, right, because your manpower and payroll cost will be higher. Could you perhaps split how much is bonus and how much is an increased payroll for the next quarter? And I agree (inaudible) understand this comparison year-on-year because it was in the first quarter that that payment happened that have improved year-on-year because this is recurring. So please explain this effect better and then a quick follow-up if you can comment, Barbassa. Why is it as though we have such a good variation in this (inaudible) in this quarter?
Unidentified Company Representative: Paula, you asked two questions, right? Okay, I'll try to answer the first one related to production and cost of workovers. Director (inaudible) is here to answer your question and then I will try to answer the other.
Unidentified Company Representative: Paul, good morning. With regards to a production decline, as you know, production is a combination of the potential multiplied by efficiency and with that you’ll get to know our production. Obviously, when there is a production decline, which is due either because we are now able to recover whereas or because it is due to a higher inefficiency, higher than we had before. So what’s drove the decline. The decline that we've seen in the Campos basin and Campos would drive as a whole and Petrobras would drive as a whole, because a decline of 10% to 11%. The decline is perfectly aligned with the best practices, a couple of best practices. With regards to the system that we have if you look and what we considered an adequate number a decline will be 14%, our number for the quarter in Campos basin in around 11%. So, there is a decline. That has been partially offset by a number of actions in new wells. I’m not going to [talk] new wells drilling systems, I’m talking about couple of new fleet development with couple of managed productions in (inaudible) field, field drilling or through the Varredura project where we look for deeper-water over there particularly the production of all these wells that we announced in the Varredura projects just like 100,000 barrels per day. That’s after the so-called well decline. There is no way that we can avoid well decline. But you have to identify all reserves that exist even after we inject the water. And this is what we originally done to try to offset the decline. Okay, so I’ll talk about decline. Declines are under control. I will now talk about the other part of the equation, efficiency. We all know that and we make it very clear, we made it very clear in the second quarter that we have an inefficiency issue associated to both (inaudible) and royalty. Among the operational units, you owe our company that in order to adapt and operating efficiency improvement program, which is already getting results. Having not adopted a program, today we believe we will be producing between 15,700 barrels or less. So we are already we see a benefit from this. And we estimate anything increase of benefit close to 25,000, 24,000 barrels per day on average of this year resulting from this production, from this efficiency improvement program in this UO of Campos. So, you now can ask? Okay, if the efficiency is improving, how come production declined in September? Well, the reason for that was that in addition to schedule maintenance, stoppages as I mentioned, and they were scheduled, they lasted longer than initially estimated because of weather condition, so that we want so in this case, in the operating unit of Rio de Janeiro there were one-time off the problems associated with the process claimed to P-53 and one-time off problems linked to the improvement in P-57, the P-53 problems have all been solved, the P-57 problems were more than half of the well has been results in terms of that most of our equipment and we have the rights to solve those problems. To conclude, in the UO-BC Operating Units Campos Basin, we are improving at the results of that improvement and the less of that costs that you'd normally view in transport. So that given the operating cost, we invested almost $400 million there, $396 million to be exact. And we had a result of $350 million, same as I thinking U.S. spending more in the [products] the efficiency equipment program it is a high yield program. We are then maintaining the BRL36 billion in operating costs by 2016. In another billion investments into 2016, with a return on debt service income $1.6 billion to $3.5 billion, this is all dollars by the way. I forgot to say which currency I was referring to an [MPAZ]. So invested, as I said $396 million and we are having a return slightly above $351 million. So we are able to prove the benefits that we are going to derive by investing in these wells. The supplement determines for efficiency, we are at this point converting the operating efficiency improvement program for the UO Rio de Janeiro, you might wonder why, if we’re going to take the UO operating unit at Rio de Janeiro in terms of its assets unfortunately, in one to two years, we might face a situation similar to that upper Campos Basin. The UO, Rio de Janeiro had both high production projects in the Campos Basin. So we continue to detail specific efficiency business programs for it and on November the 19, we’re going to internally launch this program in Petrobras, what is the expected return in November the 19? We’re growing from all on the investments and expected results, so that we will not face the problems that we are facing in Campos, is it going to be as big as, certainly not, in UO or RJ Rio de Janeiro it is a lot smaller than the UO Campos Basin. But we need to have a fairly structured program of action focused both on clients, particularly on clients and a little bit less than on wells, in two years time, we will be facing an issued some work we tie it off the Campos Basin and we do not want that, so if you can talk about decline, I talked about efficiency and later on, with those then we can talk about the operating cost optimization program for the company as a whole. Thank you very much.
Unidentified Company Representative: Well, to continue with your questions, in terms of the costs linked to the Collective Bargaining Agreement for the workforce and that recurring fees 15% to 20% of that cost is recurring, 80% of that cost will be seen only in this quarter. That will be the breakdown of some of the increase, if it’s calculated in this way. As for the account for priors, if we go back to the chart that shows our trade balance, you’ll see that there was an increase in our imports and the chart of the prices it actually better because you see how fast prices grew and imports grew between July and September. We see how gasoline imports grew in that period and there was also an increase in the imports of oil in this quarter. This is linked to a higher currency value that leads to a debt with suppliers which is also higher. Thank you.
Operator: Our next question comes from Mr. Bruno Varella from Bradesco. Mr. Varella.
Auro Rozenbaum – Bradesco: Good morning. I am Auro, not Bruno. I have two questions to Formigli. The first one has to do with a decline, I think you mentioned (inaudible) overall what is that decline and how do you calculated?
Unidentified Company Representative: We can’t here you Bruno. Auro, oh Bruno, okay. Will you able to hear my question? If you could repeat your question Auro, we’ll appreciate it.
Auro Rozenbaum – Bradesco: Auro, I can. I have two questions for Formigli. The first one is regarding production declines, he talks about the decline but I’m not sure he was referring to Campos if not representing Campos as an example. I would like to know what is the decline you’re using and how you calculated this decline?
José Miranda Formigli: Auro, can you hear me. Good morning Auro. I will explain how we calculate the decline. Decline is calculated field by field. That is the first noted point. Obviously, we had an average decline and we informed that the average declines are only 11% for all fields. But decline potentially is calculated field-by-field, if the field have different characteristics, for your fields what we have, I’m going to concentrate on the major fields, okay.
 : In managing the reservoir, I am going to that something that I mentioned in the previous answer. You manage your action in terms of pressure in water arrival, in most of our offshore projects, we look to inject a lot of water. And then first among the best practices of the industry and managing this allocated ground inject water the decline is going to be very accelerated because in the reservoir there is a separation between oil and gas, you don’t have you (inaudible) between the volume of oil produced, in this stride having what we call a reservoir saturation which I’m having more oil index volume in the middle long-term oil and gas and this is having a very low recovery factor. We were all able to get a recovery factor P-52 proven with road rock mining, up 58%. I am going to say recovery factors [P-52] for proven with road rock mining of 58% we think it, because we all got achieved that, because inject a lot of water, process to inject a lot of water and produce a lot of water. So that decline is measured with a mark above you have compared to certain conditions of the reservoir, because of mining is 10% a year. This is at capital of 12% decline per year, and we are flattered by new launch in production area to reduce that decline. This is the dynamics of controlling decline. Did you have another question?
Bruno Varella – Bradesco: I’ll look in.
José Miranda Formigli: Actually we do not have (inaudible) and we have been doing our (inaudible) for quite while to try to win more about the declining production and what we did was instead of working by field or by basin we worked well by well. And what we observed is that in the last 12 months, closing in June of 2012, the company is building of the 560 wells which achieved production But it looks like in these kind of forecast, Petrobras is the only other operator who is only going to talk about average annual declines in large fields as we have done that we have released. Normally other operators don’t look at, don’t get the level of detail that we provide. Our production is not growing this year and that’s why we are providing investors all of this information, but will not increase the level of detail beyond what we are all (inaudible).
Auro Rozenbaum – Bradesco: Auro here. The details you are giving you are excellent. It will allow us to, will allow to do this kind of study which that is also available to you. We have analyzed what I love but all is already taking into account annual average decline to eliminate noise and no more fluctuations. But my true interest in that question was to know how you calculate and I wanted to understand the potential (inaudible).
José Miranda Formigli: Moving on, I would like to introduce (inaudible) more of the dynamic to calculate the potential of production. Thank you.
Operator: Our next question comes from Mr. Gustavo Gattass, BTG Pactual. Mr. Gattass.
Gustavo Gattass – BTG Pactual: Good afternoon, I have two questions Barbosa the first one is for you. I would like you to speak about management, cash production and dividend. It's been a while that we haven’t seen dividend paying it, dividend to reduce the tax burden as we have done today. I would like to understand from you a little bit about the mindset of the management and the mindset of the Board for dividend payout looking forward? Do you tend to migrate to the minimum dividend payout or the mindset remains to pay the same dividend for common and preferred shares? So I would like to know about the dividend payout policy for Petrobras looking forward? That is my first question. My second question is market consensus. I just want to understand, we were doing our own math about the Petrobras refining results is the price of gasoline and diesel were in par, we still see a large loss, so I would like to understand if structurally speaking you see refining as unable to generate a positive result or perhaps we are doing the wrong calculations here?
Unidentified Company Representative: Thank you, very much for your questions. Regarding your first question, the decision about interest on capital takes into account some important variables and the cash management is one of them, a very important one. And what do I mean by that? What you see in our income statement in terms of taxes payable, these are the taxes that we’re supposed to pay during the period and our accounting department has a competency and responsibility for the calculation and the disbursement is on a cash basis, and this is how we deal with that with our Internal Revenue Service. And the reason is that we do have time to optimize results until the end of the period, so this is one of the points. And the other points has to do with the preferred and the common shares and the dividends whether we are going to pay the same dividend, this is a decision made by our Board. Only after the Board decides, we'll be able to inform you and our dividend payout policy continues to be the same. There is no change in this policy. So I would like to give the floor to (inaudible) to answer your second question.
Unidentified Company Representative: Gustavo, we see many opportunities to offset these prices. Cost reduction is an important discipline and we have the program that is establishing the company. It’s in force and we intend to continue working with a lot of determination to achieve important cost reductions. And we have many new facilities in the pipeline and we will be first increasing this with the integration of our refining product and the integration of the new units to the existing refining product as said REPAR coking unit is a very important thing and it started operations in June and August with an important contribution in every well which are unique steps substantially changed the refining process in the industrial units. So this is where we are placing our bet and the new refinery with a differentiated management we intend to offset that bringing our refining to other levels higher than the ones that we have and some others that is being built and with a very strong operations and the support we are looking for in order to cope with the difficulty that you mentioned yourself.
Gustavo Gattass – BTG Pactual: I apologize for the third question. You mentioned that the depreciation of refining ended up increasing due to the new equipment installed, could we revisit this point. You had a 50% increase in depreciation in the refining operations, would that be consistent every quarter should we expect?
Unidentified Company Representative : This has to do with accounting of the assets that were under construction. And when they started up this depreciation it may get started in that scenario in terms of depreciation already counted on most of the equipment already depreciated, so they are coming into play as a new unit, as start up of a new unit ends up having a high relative effect. And this is a fact that occurred into the next quarters, we have other units that will be started up and the investments that we make the improvement of qualities and also we have a higher complexity in this unit. So, our forecast is that by the end of the year practically everything should be concluded. At June this period we should see the inclusion of new units started out but as these are added to a higher value. So, we have all the assets we depreciated and we are adding new assets as I said. So typically will start to decrease gradually and as they are ready to be started up and we have to add them and that too have an effect on depreciation.
Operator: Our next question comes from Mr. Pedro Medeiros from Citigroup. Mr. Medeiros.
Pedro Medeiros – Citigroup: Good morning. My first question is the following; you mentioned $400 million in the quarter. Is it possible to separate what was maintenance cost from your lifting cost and what was the additional cost; the contribution of the hit by new coking units? And maybe it would be better to ask the second question to (inaudible). Could you make a general evaluation about the project to release cash for the company. The first one is a sale of your assets in the Gulf of Mexico and should we expect something similar to that and in the past you mentioned the acceleration of the recovery of your accounts receivable which is close to R$4.4 billion and the improvement in the working capital as well. So, could you talk about the three projects please?
Unidentified Company Representative: Good morning. It’s something $396 million, $357 million in net present value. It didn’t happen only in the third quarter. It is accumulated and we’re following this locally since April, although, we have announced to as externally. I think it was in June. We had already implemented products in April, and so we followed that up very frequently to be sure that the actions are bringing about us expected results, as regarding the assets of the Campos Basin. We have over 72% of earnings today, and you can say well this is very good because in the past our efficiencies were lower than 70%. And to grow capital very difficult and it's quite a lot of work that is necessary. So we intend to further improve this in the next few quarters. You asked about the percentage? I can tell this in relative terms, this is a characteristic now due to the ForEx. What I can tell you is as follows one-third approximately of our costs in real has to do with maintenance and two-thirds, we had the collective bargaining agreement, and it is appropriated to what you the call the direct operating cost, which is the lifting cost of Petrobras. The maintenance cost is very much impacted by the operating improvement activities in the Campos Basin.
Unidentified Company Representative: And in general, this is not a situation, but this is what you should consider. I’m not going to talk about absolute figures, but one-third maintenance and two-third operations. So you can do the math yourself. Okay, thank you. Next question, so we’ll be answering the next question.
Pedro Medeiros – Citigroup: The impact in terms of costs, I am talking about stoppages and the bargaining agreements, 95% it’s represented by the stoppage costs and the collective agreement. So these are the major impacts. We have over 20 different products and the impact is very small total?
Unidentified Company Representative : In terms of your third question, which has to do with the release of some total company cash in the third quarter, we added difference of other [profitability] as a guarantee of an actuarial debt of our pension fund. That allowed us to improve our debt levels. This is something very important for Petrobras, the fact that we could release the funds. In the electric industry, for example, we continue to negotiate with them, ’08 to end has this deal with them, we managed that we have a result in October, so this was not included in the balance sheet. We were able to stop the pending issue. With that, we intended to materialize our production forecast. In our investments area, we restructured our whole organization here had headquartered concentrating those activity here, in order to optimize them and they continue to work to optimize our working capital. Our program is very matured with the high level of activity. And we have our program also available to other suppliers, so that we can work with our cash anticipation for the company in the right and adequate way. And at this point, we are planning to release as many funds as possible to have our cash robust. Our cash is quite lucrative. The balance sheet that does not include gross funding that we had in Europe, £400 million and millions and millions of euros. Thank you very much. We would like to make a correction, just a quick correction, in terms of those figures about cumulative expenses and at the end of September we wanted to close NPV for the month of September. Due to this number of close at the end of August, so we should consider actually that those expenses from April to August versus the NPV. Every month, we follow for the area of spending and what is NPV? And whether we are on the right track and have to do this really because whenever we make a workover or we implement an action, we have immediate results. 
Pedro Medeiros – Citigroup: Thank you for the clarification from (inaudible). And finally I’d like to ask the third question. I’ve been observing that for future production projects particularly for 2013 and 2014, you still have to finish the bidding process but did I assume through end of September, do you have any comments on those two projects, on the West Coast of those two projects? 
Unidentified Company Representative : The answer is what would you purposely need to complete?
Pedro Medeiros – Citigroup: The bidding process for general equipment
Unidentified Company Representative : But I still didn't understand, you are talking about (inaudible) in the [Hiroshima II]?
Pedro Medeiros – Citigroup: Yes, about those two projects.
Unidentified Company Representative : Well, Petrobras is working for an alternative, that we have for that not certain time to offset (inaudible), Petrobras alternative that we chose because we got to work profitable to support this UO there. But we continue to work into developer’s alternative with our suppliers. Now we can consider the weighted and the flexible alternatives. We are now applying the vast contract conditions possible. Thank you very much.
Operator: Our next question comes from Brandon Mei from Tudor Pickering, Holt & Co., You may proceed.
Brandon Mei – Tudor Pickering, Holt & Co.,: Hi, thanks for taking my call. My question is on investments. How is the divestment process progressing specifically in the Gulf of Mexico and I was just thinking about the net debt to capital already at a high level. What would be free cash flow and investments are lagging?
Unidentified Company Representative: Mr. Brandon, could you please repeat your question.
Brandon Mei – Tudor Pickering, Holt & Co.,: Hi, can you hear me. My question is on how the process is progressing specifically in the Gulf of Mexico and then on while the net debt-to-capital is already at a high level what would you do if crude prices fell and could you get the rest of it done in a timely fashion?
Unidentified Company Representative: (Inaudible)
Brandon Mei – Tudor Pickering, Holt & Co.,: Hello, my question was on progress of how that is going specifically in the Gulf of Mexico assets and while net debt-to-capital is already at high level; if crude prices fall and the investments are coming in a delight fashion what would you do?
Unidentified Company Representative: (Inaudible)
Unidentified Company Representative: I will try to answer to your question as much as possible, but there is a technical problem and it's very hard to hear your question. I believe it is related to our debt level. Looking forward, we look at our investments and production of in our business and management plan, an estimated production of 2,022,000 barrels per day more or less 2%. We should achieve that production. We estimated an increase in prices, which has not totally happened. We continue with our goal to continue to pursue a balance increase first to maintain our debt level or lower. Therefore, due to our price policy, the deductible plant adjustment and demand be able to grow over the 2.5 times net debt over EBITDA. But we are pursuing this issue right now. It will depend on some variables on the lines of variables. We can project the results but only project them. So we want to get to our business plan, we are working very hard on other variables, so there we can release fund to our cash as mentioned before. We will be able to achieve our level and maintain them at the most adequate level if possible. Now again, it depends on a lot of things that can happen on several fronts looking forward. We are working on those variables that are strictly under our control. Thank you.
Operator: (Inaudible) you may proceed.
Unidentified Analyst: This is a follow-up on a question that has already been asked. I would like to understand what is the reason for the non-payment of interest on equity? I'm saying that what you have on the balance sheet of interest on capital, then what would be not state has already been reimbursed.
Unidentified Company Representative: As I said before the inclusion of decline in our balance sheet, when you repeat the balance sheet by accrual basis, but anyway we can optimize this over the year. This doesn't mean that we're changing our policy. This means that we're optimizing our analysis and our cash management. Thank you. 
Unidentified Analyst: Thank you. 
Operator: Luiz Pinho from UBS.
Luiz Pinho – UBS: My question has to do with the Greenfield refineries, I would like to understand what is the stage of a negotiation with maybe partners and whether this is a reality or not and then what ways this could impact your pricing policy for oil product? And afterwards I'll ask the second question.
Unidentified Company Representative: Well, we're going to answer the first question. A partner is always welcoming this kind of operation. As we are in the oil industry and the pricing with the partnership, or we are just studying this, we will not consider that this has to be win-win situation. It is impossible to make a deal feasible if it is not a win-win situation. A win-lose situation is not acceptable, so a partnership has to be a true partnership where everybody gains.
Luiz Pinho – UBS: Thank you for the answer. Just a follow-up question, so in the sense that you're looking for partnerships based on your answer and having said that, could we imagine something even more concrete by the end of this year regarding a partnership to be signed. And now my second question, how do you see the role of fuel distributors in Brazil due to this very high consumption of oil products and the need to import? Are you working on this or changing your relationship with distributors, really in terms of fuel orders or investments or tanking or logistics or whatever? So this is my second question.
Unidentified Company Representative: Companies are looking for new markets due to this high demand and there is need for the construction of new tanking facilities and companies are moving in this direction. So, we already see the package is down the part of the company. They don't see this as an opportunity for our business and with this growing market, what we are doing is the following. We have to work even closer to them in order to avoid any surprise difficulties, but this is something that we have to do everyday and our commercial department is working very strongly on that, hand in hand with distributors. And we are doing our best in this regard and consumption in October is also extremely high. And we expect no difficulty whatsoever with this very strong contribution between our company and the distribution people.
Luiz Pinho – UBS: And what about the follow-up of my first question? Could we expect anything regarding partnerships to be announced still this year or the first half of 2013, a definition about the partnership?
Unidentified Company Representative: Any partnership depends on two parties; if I say yes I would be making a decision on behalf of the other party as well. So it's a very tough question to answer. Okay, thank you very much.
Operator: Now, I would like to give the floor back to Mr. Barbassa for his closing remarks.
Almir Guilherme Barbassa: I thank you very much for your patience for waiting for us during the interruption, the technical interruption that we had. We had over half an hour delay and we apologize for that and thank you very much for your patience and thank you for your presence. And we would like to invite you to join us in our fourth quarter conference call during which we expect to present even better results. Thank you very much.